Operator: Good day everyone and welcome to Steelcase’s fourth quarter conference call. (Operator Instructions) For opening remarks and introductions I would like to turn the conference over to Mr. Raj Mehan in charge of Investor Relations.
Raj Mehan: Good morning everyone. Thank you for joining us for the recap of our fourth quarter and fiscal year 2008 financial results. Here with me today are Jim Hackett, our President and Chief Executive Officer; Dave Sylverster, our Chief Financial Officer; Mark Mossing, Vice President and Corporate Controller; Terry Linhardt, Vice President North America Finance and Senior Vice President and Global Operations Officer. Our fourth quarter earnings release dated March 27, 2008 crossed the wires yesterday afternoon and is accessible on our website. This conference call is being webcast and is a copyrighted production of Steelcase Inc. Presentation slides that accompany this webcast are also available on Steelcase.com and a replay of this call will also be posted to the site later today. In addition to our prepared remarks we will respond to questions from investors and analysts. Our discussions today will include references to non-GAAP financial measures. These measures are presented because management uses this information to monitor and evaluate financial results and trends. Therefore management believes this information is also useful for investors. Reconciliations to the most comparable GAAP measures are included in the earnings release and webcast slides. At this time we are incorporating by reference into this conference call and subsequent transcript the text of our Safe Harbor Statement included in this morning’s release. Certain statements made within the release and during this conference call constitute forward-looking statements. There are risks associated with the use of this information for investment decision making purposes. For more details on these risks please refer to yesterday’s earnings release and Form 8-K and the company’s 10-K for the year ended February 23, 2007 and our other filings with the Securities and Exchange Commission. Before I pass the call along to Jim Hackett our President and CEO I did want to mention a couple of minor segment changes we will be making to the business segments in which we report our financial information. Vecta a brand currently being aggregated within the North America segment will now be consolidated within the other category as part of the Premium Group. Brayton a brand within the Premium Group has a small portfolio of healthcare products. These products will now be consolidated within the Nurture brand which is part of the North America segment. While these segment reporting changes are being announced today our call today will still reference the old segment reporting structure. The new segment reporting structure will be used for the presentation of financial results in our 2008 10-K filings. However in an effort to help the investment community and others get a historical perspective of our performance under these revised segments we will be making available five years of historical selected financial information using the revised segments as well as the two most recent years of quarterly financial information. This information will be made available when we file our 10-K in late April and will be accessible via our website. With those formalities out of the way I’ll turn the call over to our President and CEO Jim Hackett.
Jim Hackett: Thanks Raj and good morning to all. At this Q4 call we will discuss a number of important topics. I’d like to begin to put some perspective initially on the fiscal year we’re completing. We’re very proud of the fact that we grew earnings almost 30% year-over-year and we did that by growing our top line by 10% and improving our operating income margin by 220 basis points. As you will see with our Q4 results, we actually had solid performance in our organic sales in North America and international. I’m not happy though that we missed the Q4 estimates and Dave will detail what happened in Q4 so you can get your heads around why that happened which then permits us to have an important discussion about the current state of our business. A few years ago on calls like this we detailed the initial thinking of key growth strategies and our growth strategies included expansion in Europe with the key acquisition in Germany. Our work there has propelled us to number one in the German market. Now we are the largest player now in Europe and our share continues to grow, with this past year in Europe as one of the best ever. We hit hard the need to diversify into healthcare and this will be our third full fiscal year behind that commitment. It’s safe to say that the healthcare business is not fledgling and is adding key momentum to our growth in North America. As we reported in September, 2007 we’ve initiated a major effort in China with the acquisition of Ultra and we’ve also announced new marketing efforts in India. In North America this past quarter we estimate we had organic growth of 4% and with the uncertainty of the environment here, I’m proud of that effort. We will launch a significant number of new ideas this year at our June Trade Show in Chicago and I have a great deal of enthusiasm for their potential impact. Recent previews are getting the kinds of endorsements that we want to go forward now with confidence. And while these sales won’t be material at the start, the have the potential to show up in future highlights, like some of the other successes I just detailed. We will also be launching our newest brand in June. It takes advantage of a transition that is starting to happen in work styles. Permit me to be vague about the details at this point to increase the drama of it’s unveiling. It’s the next step in the evolution of our SDP Premium Group category and I believe it will redefine this category in our industry. So you’re likely wondering how we see our business going forward in this turbulent environment and there’s no need to establish with you the uncertainty of the times we’re in. The nature of the liquidity squeeze of the credit crisis is playing out continually in the news and we know that cycles do come and they do go. This is the fifth banking crisis we’ve faced in this country and each time the system gets vilified for how it got there and yet it always comes out stronger afterward. Now in spite of this turbulence, Steelcase is proud to have maintained its sterling balance sheet. It’s true we have more cash than one might carry in theoretical terms, but that is a good position to be in right now. I like our financial policy today and realize that there are times to take more risk with one’s balance sheet and times to keep dry powder. I think this part of our business is in great shape. We were able to add a special dividend this year and increase our buybacks all the while maintaining the sterling balance sheet. As often is said our dry powder is for the unexpected and the opportunities that may present themselves due to the turbulence in the markets today. While these successes; international, healthcare, new product development and a very strong balance sheet can get lost in the news about this Q4, or dismiss the hand-wringing over the economy. We have a good idea about what needs to be done and are intensely focused on executing them. If I get anything across today it’s the fact that we believe we’ve done what we said we would do. Our people have worked hard over the last few years to affectively run our business with less capital deployed and return more to shareholders. This came from an intense effort to make our model more fit. Now fitness is defined in terms here as the ability to shrink and grow and grow and shrink. In other words to compete today all over the globe one has to realize that it’s never at rest or static. I make this point because we’re telling our organization today about three key pieces of news. First we’re continuing the modernization of our industrial system. Our continued passion for lean manufacturing principles, complexity reductions and leveraging the global supply chain have enabled these steps. If this were your first call or the first time you’ve heard this from us, you know that Steelcase has the proud history of being the strongest manufacturer in this domestic industry. Our on-time performance with products with very high quality was often referred to as the best in class. Embracing and delivering on principles like lean and leveraging the global supply chain are allowing us to establish a new benchmark for global operational excellence in our industry. The second, we are in the midst of our turnaround efforts of PolyVision. Some of our actions announced today are targeted to address the issues we’ve been discussing for the past several quarters. And third, we’re initiating an action we call, reinvention. In its simplest terms it means this; as a company like ours that operates 24-7 all around the globe, we can now couple the capabilities we have in our various geographies with the customer requirements we are addressing. Said another way, we don’t have to maintain all of our capability in one particular location or geography because technology allows time and distance to be a non-event. Consequently, we have begun key process reengineering that will result in a net reduction of 200 to 250 white-collar jobs in North America. The details of this are taking shape and today we’re communicating our intent to our employees. But I want to be clear here. Apart from the acquisitions and other targeted growth strategies you may not know this but we’ve had little headcount growth from 2004 to today, even as we built this very productive model to compete, even as you saw the sales increase over that period. So these moves today while in the midst of the uncertain economic times are really more connected and would have been more connected to the broader competitiveness that I see as an inevitable next phase of the fitness of global competition. So I’m very optimistic about the state of our company given this news today and would like now to turn the call over to our Chief Financial Officer, Dave Sylverster.
Dave Sylverster: Thank you Jim. Today we reported a fourth quarter profit of $30.6 million or $0.22 per share. The current quarter results represent a slight increase over the prior year profit of $29.3 million or $0.20 per share which included $6.1 million of after-tax restructuring costs. You will recall last year’s fourth quarter also included favorable tax adjustments totaling $24.8 million and intangible asset and goodwill impairment charges totaling $7.7 million after-tax. These adjustments when combined with related variable compensation expense of $6.3 million after-tax had the net affect of increasing last year’s fourth quarter net income by $10.8 million. We have included a copy of last year’s webcast slide related to these adjustments with this quarter’s materials for your reference. Before I discuss the quarter in more detail, I would like to first comment on the full year results as the closing of this quarter marks the fifth consecutive year of profit improvement since the industry downturn and the initiation of our efforts to modernize our industrial system. We have come a long way from the losses we posted in fiscal 2003 to a current year profit of $133.2 million or $0.93 per share, a 29% improvement over the prior year earnings of $0.72 per share or $106.9 million. Revenue increased 10.4% to $3.4 billion in fiscal 2008. Operating income of $202.8 million for the current fiscal year compares to $113.7 million in fiscal 2007. We recorded net restructuring credits of $400,000 in the current year compared to net restructuring costs of $23.7 million in the prior year. Operating income excluding restructuring items was $202.4 million versus $137.4 million, an improvement of $65 million or nearly 50% over the prior year. As a percent of sales operating income excluding restructuring items was 5.9% compared to 4.5% in the prior year. The improvement in operating income was driven by higher volumes, improved pricing yield, benefits from previous restructuring activities, and profit improvement efforts in various businesses including our wood and interior architecture product categories and manufacturing productivity gains. These improvements were partially offset by higher non-cash impairment related charges, lower cash surrender value appreciation on company-owned life insurance policies and increased spending on longer term growth initiatives. As I have said on previous calls the management team at Steelcase is committed to delivering the long-term financial target of achieving 10% to 11% operating income as a percent of sales. Fiscal 2008 marked another good year of progress toward that goal. However various economic indicators suggest our industry may continue to moderate in the near term and face increasing inflationary headwinds at the same time. As a result we intend to take this opportunity to accelerate various strategic actions to improve our operating margins. The actions which I will discuss in more detail in a few moments are targeted toward further modernizing our industrial system, improving the profitability at PolyVision and rebalancing our workforce to better align with our growth opportunities. In our three-year strategic plan completed during the third quarter all of these actions were contemplated. But initial implementation plans were staged for future quarters. Our decision to accelerate these actions was based on the continued stress in the credit markets, increasing inflationary pressures and growing consumer concerns underlying the US economy. Now I will discuss the fourth quarter in more detail. As I stated before we reported a fourth quarter profit of $30.6 million or $0.22 per share. These results were below our earnings estimate of $0.23 to $0.28 per share provided last quarter, despite overall revenue growth of 15.8% which exceeded our related guidance of 10% to 14%. While we will discuss each of the following items in more detail as we review our segment performance and highlight the specific impacts on cost of sales and operating expenses, I would like to take a few minutes upfront and highlight the aggregate impact of some of the larger unanticipated issues we faced this quarter. First you will recall that we carry company-owned life insurance or COLI, on our balance sheet as a long-term funding source for post-retirement medical benefits, deferred compensation and supplemental retirement plan obligations. Accordingly we matched the income for COLI performance with the related employee benefit cost allocations to cost of goods sold and operating expenses. These investments with aggregated $210.6 million as of February 29, 2008 include both traditional whole-life policies and variable-life insurance policies and are carried on our balance sheet at their net cash surrender values or CSV. Over the long-term COLI tends to be a very stable asset. The issuing companies have very high financial strength ratings; one is AAA and others are AA. Nevertheless we can experience some short-term volatility and we saw that during the fourth quarter driven in large part by the overall performance of the US equity markets. In fact compared to the prior year our fourth quarter and full year results reflect lower CSV appreciation of approximately $5 million and $11 million respectively. Second we incurred a fourth quarter operating loss of $4.4 million in a relatively small country within our international segment. The losses were driven by inventory adjustments, losses and performance penalties on highly customized projects and operational inefficiencies linked to the implementation of a new enterprise resource planning or ERP system, within this operation. Third our international results in the fourth quarter were also negatively impacted by approximately $1 million due to the weakening of the UK pound sterling versus the euro, given our euro’s own industrial model in Western Europe. Plus we wrote off a $1 million long standing VAT net receivable related to an entity we liquidated several years ago. Reported revenue of $901.3 million, the highest level of quarterly revenue reported in the last seven years, grew 15.8% as compared to a year ago and was influenced by the factors we mentioned in our guidance last quarter. That is the current quarter compared to the prior year included an additional week of shipments due to the timing of our fiscal year-end, the revenue affect of which we estimate to approximate $65 million. Second favorable currency translations benefits approximating $26 million and third a $5 million unfavorable impact related to dealer de-consolidations net of acquisitions completed within the last four quarters. Thus if you adjust for these three items you will note our fourth quarter revenue reflected organic growth of approximately 5%. Our international segment again led the way this quarter by posting significant sales growth over the prior year and representing more than 30% of consolidated revenue for the first time in our company’s history. And remember our international segment does not include Canadian sales which are different than some of our competitors and thus international segment comparisons should take this difference into consideration. When looked at on an apples-to-apples basis we believe Steelcase continues to lead the industry in both the absolute size of its international sales as well as international sales stated as a percent of total consolidated revenue. Fourth quarter operating income of $46.8 million compared to $2.8 million in the prior year. Included in our operating income were pre-tax restructuring credits of $300,000 compared to restructuring costs of $9.3 million last year. Operating income excluding restructuring items was $46.5 million or 5.1% of sales compared to $12.1 million or 1.6% of sales in the prior year. Remember last year’s fourth quarter was impacted by two major items as illustrated in the supplement webcast slide. First we recorded $11.7 million of non-cash impairment-related charges associated with PolyVision intangible assets and goodwill and second we recorded $9.5 million of variable compensation expense related to the favorable tax adjustments net of the PolyVision impairment charges. The balance of the improvement in operating income excluding restructuring items was primarily driven by better performance in our North America segment. Also as you complete your quarterly contribution analysis on the increased volume year-over-year do not forget about the extra week of operating costs during the current year. Cost of sales which does not include restructuring costs was 68.2% of sales compared to 68.7% in the prior year. North America reduced its cost of sales percentage by 10 basis points versus the prior year and the other category reduced its cost of sales by 370 basis points. These improvements were offset in part by increases in cost of sales as a percent of revenue within the international segment. The overall net improvement along with lower restructuring costs in the current year increased gross margin in the fourth quarter to 31.9% from 30.3% last year. Operating expenses of $240.4 million which do not include restructuring costs were 26.7% of sales compared to $231.3 million or 29.7% in the prior year. The $9.1 million increase in operating expenses was influenced by several factors including approximately $10 million to $12 million related to the extra week of operations; approximately $6 million of currency translation affects as compares to the prior year; approximately $5 million of increased spending on new product development and other long-term growth initiatives and approximately $2 million of lower CSV on COLI. These increases were offset in large part by the decreasing affects of $11.7 million of prior year non-cash charges related to PolyVision intangible assets and goodwill as well as approximately $3 million of decreased variable compensation expense. As we have said in previous calls we remain focused on controlling our operating expenses but we also expect to continue investing in initiatives that we believe will contribute to growing our top line. Other income net was $3.9 million for the quarter, flat compared to the prior year. During the fourth quarter of last year we repatriated nearly $100 million of cash from our Canadian subsidiary which resulted in foreign withholding taxes of approximately $5 million that were recorded as a non-operating expense. The current quarter reflects lower interest income resulting from lower cash and investment balances, lower interest rates and a $900,000 impairment charge recorded against the Canadian Commercial Paper investment that remains in default. In addition the current quarter includes a $1.1 million charge to correct a minority interest related to one of our consolidated subsidiaries. Our full year effective tax rate of 37.0% was within the range we communicated during our last call and reflected a fourth quarter effective rate of approximately 34%. While there are always many variables at play when it comes to global taxation we are currently estimating our fiscal 2009 effective tax rate will approximate 35%. The rate could be higher or lower depending on a number of factors including the final outcome of a current IRS audit, which we expect will be completed within the next 12 months; the potential reinstatement of the research tax credit by the US government; potential adjustments positive or negative to valuation allowances recorded against our international net operating loss carry forwards and the level of our non-taxable income relative to overall pre-tax income. In addition if corporate tax rates were to change in jurisdictions where we are carrying net deferred tax assets we would need to revalue these assets in the period any such changes were to be enacted thereby impacting our effective tax rate. Next I’ll talk about the balance sheet and cash flow. Our cash and short-term investment balances approximated $264 million at the end of the quarter, a $280 million decrease from the end of the third quarter and a $296 million decrease from the same quarter last year. We generated $82 million of cash from operations in the fourth quarter which was influenced primarily by profitability, improvement in working capital metrics and non-cash accruals for variable compensation and benefits. Capital expenditures of $27 million during the fourth quarter reflect increased new product development efforts, further investments in our showrooms and corporate facilities and additional deposit payments related to the replacement of an existing aircraft. For the full year depreciation expense of $84 million exceeded capital expenditures of $79.6 million. We expect this trend which has continued for seven consecutive years to be interrupted in fiscal 2009 as we continue a higher rate of new product development investments; relocate our showrooms within the Chicago merchandise market; complete the renovation of our learning center and surrounding campus in Grand Rapids and take ownership of a replacement corporate aircraft. As a result we are currently estimating fiscal 2009 capital expenditures to exceed fiscal 2008 amount by approximately $30 million. That said we also anticipate selling the aircraft that is being replaced in fiscal 2009 and believe proceeds will offset a large portion of the increased capital expenditures. We paid cash dividends of $268.8 million during the quarter including a quarterly dividend of $0.15 per share and a special dividend of $1.75 per share. In addition we repurchased approximately 2.8 million shares of common stock at a total cost of $40.8 million or at an average price of $14.57 per share. Taken together we returned approximately $500 million to shareholders in the form of dividends and share repurchases during fiscal 2008. At the end of the quarter we had $272.5 million remaining under our share repurchase authorizations. Steelcase remains committed to striking a responsible balance between returning value to shareholders in the form of dividends and share repurchases while maintaining a strong capital structure that can fuel future growth as well as protect the company during business cycles. I would like to update you regarding the two areas of concern within our cash and investment portfolio we have highlighted the last two quarters. We hold $26.5 million of auction rate securities that have continued to fail auction due to a lack of liquidity in the market place. While the underlying assets have continued to perform paying interest at higher penalty rates, recent valuation work completed by our brokers suggest that the current value of these securities is less than par value by $2.6 million. Accordingly we have reduced the carrying amount and recorded the corresponding adjustment to other comprehensive income within shareholders equity as we believe the impairment to be temporary. We also have $5 million in Canadian asset-backed commercial paper that defaulted during the second quarter when the broader Canadian market for this type of security effectively shut down. As I mentioned earlier we recorded a $900,000 estimated impairment based on our internal valuation of the underlying assets. This charge was recorded as a reduction of interest income during the fourth quarter as we believe the impairment to be other than temporary. Given the uncertainty as to how long the markets for these securities will remain unavailable, we have reclassified the adjusted balances totaling $28 million to long-term investments in our consolidated balance sheet. Now I will discuss the quarterly operating results for each of our segments and the other category. Since the full year results are simply the culmination of the past four quarters I will defer the full year segment discussion to our 10-K which we expect to file on or before April 29, 2008. In North America sales were $492.3 million in the quarter or 9.7% higher than the fourth quarter of last year. Current quarter revenue included the favorable impact of an extra week of shipments and favorable currency translation affects plus the unfavorable impact of approximately $15 million from net dealer de-consolidations completed in the last four quarters. Adjusting for the extra week of shipments, currency benefits and net divestitures, we estimate organic or same-store sales growth in the North America segment of approximately 4% over the prior year quarter. We experienced revenue growth in most all of our product categories, vertical markets and geographic locations. The biggest exception was the finance, insurance and real estate or FIRE sector which experienced sales declines during the quarter. During last quarter’s call we noted third quarter order rates remained relatively strong through October reflecting upper single-digit growth compared to the prior year. But order growth had slowed in November. We also noted that generally shorter lead times meant most of the strong September and October incoming orders shipped by the end of the third quarter. Accordingly our beginning backlog entering the fourth quarter was essentially flat versus the same timeframe last year. During the fourth quarter average weekly orders followed a typical seasonal pattern declining through mid-January and rebuilding thereafter. Modest weekly order growth achieved in the first three weeks of December was essentially negated through early January as we experienced soft order patterns relative to the prior year. Thereafter weekly orders remained relatively consistent with prior year amounts through the end of the quarter and into early March. Accordingly we finished the quarter with order that approximated the prior year. In order to give you some additional color commentary on our fourth quarter North America order patterns, I will share that we are experiencing a sector decline as you might expect resulting from the uncertainty affecting the financial markets. Specifically while overall fourth quarter orders adjusted for the extra week were essentially the same as last year, we did experience low double-digit declines within the FIRE sector which we attribute to the turmoil in the credit markets. This decrease however was offset by order growth in other vertical markets including healthcare, government and higher education. In addition during the quarter we experienced the decrease in year-over-year customer visits for the first time in several quarters and we also began hearing about various project deferrals primarily within the FIRE sector. Operating income for the quarter was $33.6 million including a $1.2 million of restructuring credits associated with property gains and various adjustments to previously recorded restructuring costs. Prior year operating income was $7.2 million including $9.4 million of pre-tax restructuring costs. Operating income excluding restructuring items was $32.4 million or 6.5% of sales in the current quarter, a 95% increase compared to $16.6 million or 3.7% of sales in the prior year. Higher volume, continued improvement in gross margin and operating expense leverage all contributed to the improvement. Cost of sales which is reported separately from restructuring items improved 120 basis points relative to sales over the prior year quarter. Gains were primarily realized through better volume leverage, improved pricing yields and benefits from prior restructuring actions and continued plant efficiencies. These gains however were somewhat masked by lower appreciation on COLI this quarter versus a year ago as well as increasing freight costs linked to the price of oil. Inflation across the balance of our commodities during the quarter was relatively modest but we are beginning to experience inflationary headwinds as it relates to steel, steel component parts, diesel fuel and other petroleum-based commodities. The improvement in cost of sales along with lower restructuring costs compared to the prior year improved North America gross margin to 30.9% in the fourth quarter compared to 27.7% in the prior quarter. North America operating expenses which are reported separately from restructuring costs were $118.3 million or 24.1% of sales in the current quarter compared to $115.3 million or 25.7% of sales in the prior year. The quarter-over-quarter variation in operating expense dollars was primarily influenced by the extra week of operating costs as well as increased spending on new product development. In addition the current quarter compared to the prior year included lower CSV appreciation on COLI which had the net affect of increasing operating expenses by approximately $2 million, $6 million of lower variable compensation expense, the majority of which was related to the prior year favorable tax adjustments net of the PolyVision impairment charges and the positive impact of net de-consolidations of dealers completed in the last four quarters which had the affect of decreasing operating expenses by approximately $5 million. International reported record sales of $278.2 million in the quarter, an increase of 32.6% compared to the prior year quarter. The growth was broad based across most markets demonstrating the strength of our product offerings and scale of market coverage that we have outside of North America. Specifically we experienced sales growth in the quarter across Germany, France, Eastern and Central Europe, Latin America, Asia Pacific, the UK and the Middle East. Currency translation had the affect of increasing revenue by approximately $21 million as compared to the prior year quarter and acquisitions net of dispositions completed within the last four quarters contributed an additional $14 million of revenue in the fourth quarter. Quarter growth was strong again this quarter reaching double-digit growth rates in local currency reflecting continued strength in Germany and solid order patterns in many of the other markets I just mentioned. International reported operating income of $17.7 million in the current quarter compared to $14.2 million in the prior year which included $500,000 of pre-tax restructuring credits. Operating including excluding restructuring items was $17.7 million or 6.4% of sales compared to $13.7 million or 6.5% of sales in the prior year. International gross margin was 31.7% of sales in the quarter compared to 34.5% in the prior year. The reduction in gross margin was almost entirely driven by the issues I outlined earlier. Again we incurred a fourth quarter operating loss of $4.4 million in a relatively small country within our international segment. Driven by inventory adjustments, losses and performance penalties on highly customized projects, and operation inefficiencies linked to the implementation of a new ERP system within this operation. While we believe most of the related charges are behind us the ERP implementation is ongoing and project activity in this market remains highly customized by nature. In addition our international gross margin was negatively impacted by approximately $1 million in the fourth quarter due to the recent weakening of the UK pound sterling versus the euro. In addition we wrote-off a $1 million long outstanding value added tax or VAT net receivable related to an entity we liquidated several years ago. International operating expenses were $70.4 million or 25.3% of sales compared to $58.1 million or 27.7% of sales in the prior year quarter representing a 240 basis point improvement in our expense leverage relative to sales. The increase in year-over-year operating expense dollars includes approximately $5 million of growth related spending in Asia including the consolidation impacts of acquiring Ultra last quarter and approximately $5 million of unfavorable currency affects as compared to the prior year. Our other category which includes the Premium Group, PolyVision, IDEO and financial services, reported revenue of $130.8 million in the quarter an increase of 9.1% compared to the prior year. The increase in revenue was almost entirely driven by growth at IDEO and strength at Brayton was largely offset by a project weakness at Metro within the Premium Group and PolyVision’s same-store growth was negated by the impacts of a product category disposition in a previous quarter. Our other category reported operating income of $1.1 million in the current quarter which included $900,000 of pre-tax restructuring costs related to a facility closure that was announced internally during the quarter. In the prior year quarter we reported an operating loss of $11.6 million which included $400,000 of pre-tax restructuring costs and $11.7 million of non-cash impairment charges related to PolyVision intangible assets and goodwill. Improvement in fourth quarter gross margin compared to the prior year was driven by the positive affects of increased volume leverage of fixed costs at IDEO and operational improvements at PolyVision. Operating expenses adjusted for the impact of the impairment charges in the prior year increased by $6.9 million in large part due to higher variable compensation expense and other variable costs at IDEO. During the second quarter of fiscal 2008 we mentioned that we entered into an agreement with certain members of IDEO management which provides for the potential transfer of a controlling interest of the company to them over a period of approximately five years. During the first phase of the transfer management earns higher levels of variable compensation relative to income and uses such amounts to purchase a minority interest in IDEO. In the event that a certain percentage ownership is achieved through attaining corresponding levels of profitability the management group will then have a limited option to purchase a controlling interest in the company. To date we have affectively transferred approximately 12% ownership in IDEO to this group of management. Now I will review our outlook for the first quarter of fiscal 2009. Overall we expect revenue growth to be within a range of plus or minus 2% compared to the first quarter of fiscal 2008 which was a strong quarter for us reflecting 11.2% growth over the previous year. This projected range takes into consideration the following factors. First based on exchange rates at the end of the fourth quarter our first quarter revenue estimates contemplate approximately $20 million to $25 million of favorable currency translation affects compared to the prior year. Second dealer de-consolidations net of acquisitions completed within the last four quarters including Ultra will negatively impact our top line in the first quarter by approximately $10 million. Third North America revenue estimates in the first quarter are based on a somewhat lower beginning backlog coming into the quarter compared to the prior year, a challenging FIRE sector across our industry and an expectation that first quarter orders will be up against a strong start in the comparable period last year which translated to strong shipments in April and May of 2007. Therefore we are currently estimating North America organic revenue to decline in the first quarter by low to mid single-digits. Fourth international revenue in the first quarter will benefit from a strong order pattern at the end of the fourth quarter that continued through early March resulting in estimated organic growth rates in local currency of mid single-digits over the prior year. We also have announced the acceleration of various strategic actions aimed at further modernizing our industrial system, improving the profitability at PolyVision and rebalancing our workforce to better align with our growth opportunities. These actions present the potential for disruption and we also are seeing increasing inflationary headwinds which are expected to increase our costs in the first quarter by approximately $5 million to $7 million. Accordingly we expect reported earnings per share for the first quarter will be in the range of $0.14 to $0.19 per share including after-tax restructuring costs of approximately $7 million. We reported earnings of $0.23 per share in the first quarter of the prior year which included $1.1 million of after-tax restructuring costs. The company is not providing full year revenue or earnings estimates however we are estimating full year restructuring costs of approximately $25 million to $30 million after-tax including the amounts just referenced for the first quarter. These actions more specifically include the following. First within the North America segment we expect to close one manufacturing facility and transfer its production along with certain products from another facility to other manufacturing nodes within our network. These actions, the majority of which will be completed over the next six to nine months have been enabled by our continued focus on lean manufacturing principles, product complexity reductions, global supply chain leverage and the implementation of our regional distribution network. Second we expect to close two facilities within the other category over the next six to nine months; one related to the Premium Group which will involve product and manufacturing complexity reductions as well as the transfer of remaining production to other manufacturing nodes within our network. And the other related to PolyVision which is linked to a decision to exit a portion of the public bid contractor whiteboard fabrication business where profit margins are the lowest. Third we are currently in the process of launching various white-collar reinvention initiatives across our business in an effort to curb the automatic replacement of future attrition and retirements as well as rebalance our workforce to better align with our growth opportunities. In connection with these efforts we currently estimate a net reduction of 200 to 250 white-collar jobs across North America over the next 18 to 24 months or approximately 100 within fiscal 2009. Some of those jobs will relocate to a company-owned shared service center, some to third parties and some may be eliminated as we continue to modernize our processes. As mentioned earlier the majority of these actions are expected to be completed within the next nine to 12 months and generate annualized savings thereafter of approximately $25 million after-tax. While detailed implementation plans are being compiled and we expect to manage through these events with minimal disruption these activities are nevertheless significant and therefore pose some risk to the first quarter earnings estimate. Regarding the overall US economy, we like you wonder what the full extent of the economic environment will bear on our industry. While we estimate the FIRE sector will continue to be negatively impacted for the next several quarters, we also believe our revenue diversification strategies will allow us to continue growth in other geographic, vertical and customer segments of our business. In addition we continue to take stock in the Fed’s actions as it attempts to stave off recessionary pressures and inject additional liquidity into the system. So for now we will remain focused on expanding our operating margins by implementing the announced restructuring actions and as we have discussed in the past several quarters we will continue to invest in longer term growth initiatives related to new product development in core markets, expansion into vertical and emerging markets and strengthening of our brands around the world. In the end we don’t know how long the economic climate in the US will remain uncertain but what we do know is that Steelcase will continue to modernize its industrial system, improve its fitness across front end processes and invest in strategies we believe will serve to strengthen our global leadership position in this industry. As many as you know our industry trade show is June 9 through the 11 in Chicago. We look forward to seeing many of you there if not sooner as we get back on the road to visit investors in April and May. Now we’ll turn it over for questions.
Operator: Your first question comes from Christopher Agnew - Goldman, Sachs
Christopher Agnew – Goldman, Sachs: First question is a couple of things, I guess for clarification but I want to wrap them up together, firstly I think that you said inflationary pressures in the first quarter you expect to be about $5 to $7 million and I’d just like to clarify. If costs stay where they are today for example steel costs, would that imply that for the full year the impact of inflation should be $20 to $28 million? And I guess linked to that, just clarification on your cost actions, the $25 million you’re planning for the full year that’s on an annualized basis or is that what you expect to achieve in 2009 and therefore on an annualized basis would it be a little bit higher and I guess linking those two things together, do you believe that the actions you’re taking will be enough to mitigate inflationary pressures or what other levers do you have to pull to offset inflationary pressures? Thanks.
Jim Hackett: Well Chris one of the things that I want to establish for the call today is that the company has the lever of being able to change prices regarding these kinds of things in our industry you can raise list prices and you can change transactional prices relative to staying competitive. I’m going to leave the discussion about price increases to that extent today. We just aren’t going to get into any kind of forward view of changes in pricing as Dave begins to answer this question about what are the projections about commodities.
Dave Sylverster: The second point I would make around inflation is that the $5 million to $7 million is kind of—it’s our estimate of commodity based inflation and it’s really before the continued efforts that our supply chain organization is implementing to offset some of those costs. So whether its, whether we manage the inflation through pricing or whether we manage it through cost reduction remains to be seen. But the number that we did give you was $5 million to $7 million and that’s what we expect on the first quarter. And in rough strokes I’ll tell you Chris that’s both inflations in sequential quarter and sequential—and inflation quarter over quarter versus the prior year. Regarding the full year we’re going to stop short of giving you what you’re looking for there because we don’t give full year guidance. Its not perfect math I’ll tell you though because the price of steel has gone up and down over the last 12 months which you’d be in a range of a reasonable ballpark I guess. On the cost reduction actions it’s a little complicated because certain of them will be done sooner than others right and when they’re all done we believe that we will generate $25 million after-tax of annualized savings. As I mentioned the more significant ones which involve the further modernization of our industrial system, those we expect to actually complete over the next six to nine months so those benefits will begin to kick in as early as part of the third quarter and for most of the fourth quarter.
Christopher Agnew – Goldman, Sachs: Okay great and another question sort of moving on, I think you talked before about this is a big year for new product launches, does that have a particular impact in terms of capital expenditure or I think we’re seeing with a couple of your competitors the year introducing new products and tends to hit gross margin a little bit as sort of tooling and getting up to speed, I just wonder if you could comment on those points? Thanks.
Dave Sylverster: Well I would tell you that it certainly has impacted our capital expenditures relative to kind of the last five years. As you know as we came out of the downturn we spent a fair amount of energy in the company addressing the backend of our business so to speak, closing factories and such, and therefore we were not investing as significantly as we typically had and that we are now in new product development so certainly there’s been an increase in capital expenditures. Regarding the impact or the potential impact on our gross margins during the year of launch it really remains to be seen. I mean what’s typical is we will run pilots runs in advance of going live in order to try to offset some of that risk and really the volume, unless the volume of new products ramps up very aggressively its something that we typically can manage through.
Christopher Agnew – Goldman, Sachs: Okay and one final question perhaps, just a little bit of historically perspective, certainly I mean 2001, 2003 was probably an unprecedented downturn given that sort of length and the amount of growth in the late 90s, but I’m not sure if we can stretch memories back to ’91, ’92. What factors do you think are different and we should consider today that would be different maybe to ’91 and 2001? Thanks.
Jim Hackett: I would say—let’s parse that on the customer side, the nature of the global competitiveness means the companies at large are structured in ways to compete with a lot of aggressiveness and intensity. Let’s say that the customers I serve from banks to airlines to insurance company, I mean the whole gamut, many of them are transformed in that time in ways that we all appreciate. But the consequence of that is, is that many of our customers as they face this current situation I hear them talking about parts of their business that are still very healthy and parts of their business that still demand our support and Dave mentioned that in his comments that the finance, insurance, real estate decline was offset by some of our vertical market efforts. The question of whether that continues to go down in that segment and offset by other segments of course is kind of the big bet. On the business model side, we’ve made a lot of progress in that period in building a business model that takes a lot less capital to produce the kind of value that we’re enjoying today. Therefore as demand can alter the fixed cost absorption we’re not, what’s the word, we’re not smirking about that now because we still have to watch that but I think they had a lot more difficult problem back in ’91 given the fixed cost structure of Steelcase if they had the kind of declines that you’re mentioning in the early part of this decade. So the diversity of our customers and the variableness of our cost structure make me feel more bullish about where we are.
Christopher Agnew – Goldman, Sachs: Okay great, thank you very much.
Operator: Your next question comes from Budd Bugatch - Raymond James
Budd Bugatch – Raymond James: Just can you refresh my mind if you’ve talked before about, or if you’ll talk now about what percentage of your overall US business have a FIRE segment or the FIRE sector decline it represents?
Dave Sylverster: Well I wouldn’t be refreshing your mind because we haven’t disclosed that.
Budd Bugatch – Raymond James: Well don’t feel restricted by that.
Dave Sylverster: You know Budd, you know it’s an important part of our business right, but you also know too that the FIRE sector includes real estate and insurance and not all components of the FIRE sector are in decline. It’s really limited to one area currently which is more on the commercial banking, retail branch banking sector.
Budd Bugatch – Raymond James: Would that be about half the segment, half of that group—I would think it’s around 14% total in that sector or in that—would be kind of my expectation for you, is that a stupid number?
Dave Sylverster: Fourteen percent of the sector or 14% of our North America?
Budd Bugatch – Raymond James: Fourteen percent of North American would be the entire FIRE group and maybe the banking would be about half of that.
Dave Sylverster: I’m really not comfortable confirming that level of detail.
Budd Bugatch – Raymond James: Okay, let’s talk a little bit about long-term growth rates going forward here.
Jim Hackett: Budd, can I just add something that—it’s the, if you said what’s the optimism in the FIRE chaos right now, in addition to insurance companies having pretty strong years, the retail banking programs that we talk about having been successful continue to be great investments for banks. Its part of their path out of their earnings challenge is if they can keep doing some of these so I want to leave you with some optimism that the part of the banking that’s suffering of course with mortgage and underwriting and the huge numbers of people affected by that, a part of our business was and has been benefiting from the branch expansions.
Budd Bugatch – Raymond James: Okay and did you quantify David how far—what the reduction in volume or orders the FIRE group did have in the quarter?
Dave Sylverster: Yes, I think we said low double-digits.
Budd Bugatch – Raymond James: And I was just trying to go them from the long-term growth rate, what do you think you look like and the industry looks like?
Dave Sylverster: As I said before we’re not giving annual guidance but from a long-term perspective we feel pretty confident in our growth strategies. We’ve talked about them on several calls and several trips when we’ve been out with the investment community, we feel like they not only diversify our top line and help us kind of ride through the cycles a little bit better but also they, given the spread of them across emerging markets and into new vertical markets and addressing new customer segments we feel like that ought to be able to enable us to continue to grow our business.
Budd Bugatch – Raymond James : Did I hear a number or any kind of range?
Dave Sylverster: Well go back to last quarter when we updated our three year view, we said that that three year view contemplated kind of mid single-digit level growth rates.
Budd Bugatch – Raymond James: Okay and that was getting to my next area was that strategic area—the 10% three year plan still in affect?
Dave Sylverster: Absolutely. You know and I would remind you too when we talk about mid single-digit growth rates that’s what we built into our three year strategic plan and we did that intentionally in order to drive or force us to make the make the right operational decisions and choices just in case our growth rate is only mid single-digits. We’re obviously targeting something more than that.
Budd Bugatch – Raymond James: Okay and you did just confirm that 10% goal is still intact, hasn’t been any change to that?
Dave Sylverster: Ten to 11% operating income.
Budd Bugatch – Raymond James: Okay and you said I think in the script you said for the first quarter $20 to $25 million in currency and I think the slide says 15 to 20, did I hear that wrong or is the slide wrong?
Dave Sylverster : In the guidance?
Budd Bugatch – Raymond James: In the guidance for the first quarter or fiscal ’09 outlook.
Dave Sylverster: Yes, its $20 million to $25 million, if the webcast slides says something different it might be excluding maybe the Canadian estimates, but it’s $20 million to $25 million in our guidance.
Budd Bugatch – Raymond James: Okay and the Canadian—the Canadian’s 5 or so?
Dave Sylverster: Plus or minus.
Budd Bugatch – Raymond James: Alright thank you very much, good luck.
Operator: Your next question comes from Matthew McCall - BB&T Capital Markets
Matthew McCall – BB&T Capital Markets: Let’s see, going back to a previous question talking about the, just looking at a historical perspective ’91 versus ’01, Jim I appreciate the points you made about the differences in the company but I didn’t really grasp the, your comments on and maybe I missed it but the comment on the environment overall. You’re not current and issued projections paint a picture that looks more like the ’91 downturn in the industry not the ’01, can you elaborate on that little bit, what the similarities and differences are?
Dave Sylverster: Let me get it roughly like because it really doesn’t matter if its perfect and that is in the recession in the early ‘90s you might have the automotive sector in the United States having a backlog in inventory of cars and then the supply system suffering and the economy in the US now in trouble. Today the diversification of those companies globally, the nature of other industries accelerating in terms of their role in our GDP, I’m suggesting that climate is so different that while this FIRE thing is a big deal and clearly have got the markets all skittish, we’re doing a lot of hand-wringing over what is relative to the whole economy and the whole diversification of our economy is not as big a deal and that’s what diversification has done for—in a recession like this. When we look at the one in the beginning of this decade because it was a capital investment versus a consumer recession that was dramatic in that companies for the first time had more depreciation in that given year than they did capital investment. I don’t believe we’re heading for something like that in this current recessionary projection so I’m just suggesting they are—it’s a recession to a recession but the strength of the diversification of our customers and the fact that we are globally positioned, we’re not sure that this is as big deal as you go back there in ’91 when we had the vertical integrative model and they were not as diversified.
Matthew McCall – BB&T Capital Markets: Okay if, let’s say that things do weaken dramatically in the economy, remind us of the company and the industry’s ability to push through price increases. I don’t know that we’ve seen exactly this scenario with inflation like it is and demand weakening but maybe discuss your comfort level with—and not asking if you’re going to push through price, but the comfort level in getting price is you need it?
Dave Sylverster: That’s why I brought up the general comment that just to remind everybody that you can change list prices and because this is a transaction-based business where you know you’re pricing orders daily you have the ability over time to change pricing but we can’t get near the question of if we are or when we are because we’re not supposed to talk about that. But I would leave you with the confidence that it is a really important part of our business and we study this and have a good handle on it and I can say what is true as you look backwards Steelcase has in the last recession when there was a lot of coming out of that a lot of change in steel and so on and so forth, we took a leadership position in dealing with those problems. We were ahead of the market in addressing that and we were successful in getting those things done.
Matthew McCall – BB&T Capital Markets: Okay, in the international segment you broke down a couple of the sources of pressure, first question the ERP, you mentioned it in one of the small countries that you serve, is that same ERP system going to be implemented in other countries?
Jim Hackett: No it’s a local ERP solution.
Matthew McCall – BB&T Capital Markets: So that’s one country issue. And then the, you mentioned some loss on highly customized products, I guess that’s reminiscent of the issues that you faced in the wood business a few quarters back, was it a similar scenario, price and cost move against you or was it—what was the issue there?
Dave Sylverster: I think it’s a little different. First of all this markets tends to be more custom in nature and we’ve done okay in the past. If I look back over the last decade we’ve done okay in this business in shipping customized solutions. The demand in that particular country though has been a little bit under pressure and as a result I think we maybe went after a few things that were even a little bit more complex than what we’re used to and that caused some problems. Along with a little bit of a messy ERP system implementation, we had a few things get away from them there.
Matthew McCall – BB&T Capital Markets: It was kind of the combination of the two, okay. And then just…
Dave Sylverster: It’s clearly not acceptable and so we’ve taken very direct steps to make sure that doesn’t happen again.
Matthew McCall – BB&T Capital Markets: Okay, and then just looking at the accelerated strategic or restructuring plans, at what point did you deem that necessary or see the opportunity there, I hear what you’re saying about the projected growth levels for next quarter, at what point during the quarter or what was the—I’m assuming this is the plan that’s been on the shelf for awhile that you can implement at any point, but what was kind of the thought process and what drove the initial decision?
Jim Hackett: I’m going to let Dave respond to the specifics of that question because he deserves a lot of credit in his role in helping us think through this and he and Mark Baker putting a lot of time into our strategic plan had a vision for how the company continues to be fit. The part I want to add is that its becoming more evident to us that as we, you see our sales growing internationally and you see the kind of expertise we’re developing with the share growth in Europe that our confidence about managing the businesses from different geographies has improved and the nuance in this is the ability to leverage some of those geographies to other geographies. Its not all about just moving jobs from Michigan to Asia because we’re talking about the ability to use the geographic footprint as we have it to the advantage of the whole company where it is, which is of course the globe. So the way that’s been translated to the employees is that we’re beginning to define which processes fit best where and that’s why it’s labeled the reinvention. That has been something we’ve been thinking, we talked lightly about on these calls, its getting much more play today and becoming more I guess explicit but Dave you might react to the question of when it became important to pull all these forward.
Dave Sylverster: Well as I said in my previous comments Matt, they were certainly contemplated in our three year strategic plan but as I said we staged them a little differently frankly in anticipation that we were going to be in a relatively stable economy at this point, remember this was six, nine months ago that we put together that strategic plan but also as we’ve had dialogues back and forth quarter to quarter we’ve also told you that we had contingency plans and part of our contingency plan was the potential of acceleration of these actions. When the volume starts to be flat or even slightly down in our North American it gives us a little bit more of an opportunity to get some of these actions done and at the same time not increase the risk of disruption as much as it would be if were growing at 5% to 10% and trying to get this stuff done. So that’s really what drove the acceleration of the industrial system related actions and I don’t need to say anything about PolyVision. We’ve been talking about that and we’re in implementation mode now.
Matthew McCall – BB&T Capital Markets: Okay, thank you all.
Operator: Your final question comes from Todd Schwartzman - Sidoti & Company
Todd Schwartzman – Sidoti & Company: Not sure if this question was asked previously but was the level of discounting in the fourth quarter comparable to that of the first nine months of ’08?
Jim Hackett: This kind of falls under the veil Todd of that would be too much disclosure, we can’t talk about pricing.
Todd Schwartzman – Sidoti & Company: Okay.
Dave Sylverster: But Todd if there was anything wild going on we’d be talking about something in our margins right?
Todd Schwartzman – Sidoti & Company: Right. The deferrals that you did reference in the FIRE sector, was that industry-wide, what you had heard?
Dave Sylverster: Well I guess, I’d maybe ask Terry to comment a little bit more on it, but my sense is that it was industry-wide because some of the projects that we heard were deferring, it wasn’t an order that we had won that was cancelled, it was a project that us along with our competitors were imagining we were going to compete for and it was deferred.
Terry Linhardt: That’s right, it’s really across the commercial banking and lending institution segment of the FIRE vertical market.
Todd Schwartzman – Sidoti & Company: And what actually is produced at the North American plant that you have slated for consolidation?
Jim Hackett: I would tell you that generally speaking it was a regional manufacturing facility that made—most of the products that were made there, that are made there currently are already manufactured in other factories within the North American network. There was one product that we will have to manufacture in a different plant but the others will in some ways simply involve increasing or slightly increasing our capacity in existing facilities.
Todd Schwartzman – Sidoti & Company: Okay and lastly I just want to double-check this and that’s it for me, CapEx fiscal ’09 we’re looking at $105 to $110 roughly, is that correct?
Dave Sylverster: I think I said current spend but 30 so you’re pretty close, I think you’re math is right.
Todd Schwartzman – Sidoti & Company: Great, thanks.
Operator: There are no further questions in queue at this time.
Jim Hackett: I just want to thank everyone for their attention today and we are pleased with the year that we just completed and have got a lot of enthusiasm and energy for starting this next year so we look forward to our next call. Thank you very much.